Operator: Ladies and gentlemen, welcome to MorphoSys Year-End Results Conference call. Please note that for the duration of the presentation, all participants will be in listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions] Now, I would like to turn the conference over to Dr. Claudia Gutjahr-Löser. Please go ahead.
Claudia Gutjahr-Löser: Good afternoon, and also good morning and welcome to our 2015 year-end results conference call and webcast. I am Claudia Gutjahr-Löser, I’m Head of Corporate Communications and Investor Relations of MorphoSys. With me on the call today are our complete management board, Simon Moroney, our CEO; Jens Holstein, our CFO; Arndt Schottelius, our CDO and Marlies Sproll, our CSO. Simon and Jens will present you a review of full year 2015 and provide an outlook for 2016. After the presentation, we will be all available for your questions. For those in the conference call, you’ll find the slide deck for the presentation on our corporate website. Before we start, I would like to remind you that during this conference call we will present and discuss certain forward-looking statements concerning the development of MorphoSys core technologies, the progress of its current research and development programs, the initiation of additional programs. Should actual conditions differ from the company’s assumptions, actual results and actions may differ from those anticipated. You are therefore cautioned not to place undue reliance on such forward-looking statements, which speak only as of the date hereof. In the presentation, we’ll review 2015 and provide an outlook for 2016. It will cover our most advanced development candidates and at the end review the financial results of 2015 and the financial outlook. The presentation will last about 30 minutes. I would now like to hand over to Simon Moroney.
Simon Moroney: Thanks, Claudia and also from me a warm welcome to our year-end call. Over the last year MorphoSys has accelerated its transformation from a technology provider to a drug development company. We’ve built one of the strongest and most differentiated biopharmaceutical pipelines in our industry. With the first partnered programs approaching the market and our proprietary portfolio gaining momentum, we intend to invest additional resources to advance our programs as quickly as possible. The two most advanced proprietary programs MOR208 and MOR202, will receive the lions’ share of this investment. We’re increasingly confident that the potential of these two programs based on the data we’re seeing. The excellent cash position on our balance sheet plus the recurring cash flow that our business generates, mean that we invest in R&D from a position of strength. This is in line with our long-term strategy and is the best way to create sustainable long-term value. Our ability to invest is not affected by the current market downturn, not would we allow the market volatility to distract us from executing our strategy. I’ll now run through the main programs in our pipeline. Right at the start, I want to remind you that there was simply too many programs to discuss in detail, so this presentation will focus only on the most advanced ones. I’ll start with our anti-CD19 antibody MOR208; the most advanced of our proprietary development programs. We presented the updates of clinical data from the Phase 2 study of MOR208 in non-Hodgkin's lymphoma at the 2015 ASCO and ASH conferences. We also saw the first stage from an investigator initiated combination trial of MOR208 lenalidomide in CLL at ASH in December. These data opens them that MOR208 has very attractive characteristics for the treatment of certain B cell malignancies. In a competitive space MOR208 is differentiated by the following key properties. It has all the advantages of an unmodified antibody, a benign safety profile, a long half license circulation and very good manufacturing characteristics, but through a very minor structural modification, greatly enhancing the molecules ability to cure B cells, it has the clinical activity required to be a successful anticancer drug. The clinical studies as well as trends in the market, has helped us define our development plan for MOR208 which we’re now rolling out. MOR208 is ideally suited to be a key component of combination therapy and B cell malignancies. While those two data’s showed a very encouraging level of single agent activity, we believe that MOR208 would be most effective in combination with other agents. Our development plan is aimed at two of the biggest unmet needs in cancer therapy namely, relapsed or refractory defused large B cell deployment and in CLL patients who failed the treatment with ibrutinib or other BTK inhibitors. Starting with the relapsed or refractory DLBCL setting, this year we’ll start two Phase 2 combination trials in these patients. What we’ve seen so far is that MOR208 can be effective in patients who no longer respond to the current old standard, which is rituximab-based therapy. Our development plans are focused on exactly this setting and the two new studies will give us a great opportunity to show that MOR208 can make a real difference here. The first study which will start shortly will combine MOR208 with lenalidomide. This will be a single arm open labeled study in 80 relapsed or refractory DLBCL patients. We expect to present first data from the study next year. The second study which will start later in the year will combine MOR208 with bendamustine. This study consists of two parts, the first of which is intended to assist the safety of the combination. This is a small study and is required by the regulatory authorities before we can start a pivotal study. We expect the first part to be completed around the end of this year and to transition into the second part next year. This will be the Phase 3 and pivotal portion of the study and which will compare MOR208 plus bendamustine head to head with rituximab plus bendamustine in up to 320 patients. This we see as the fastest product to market for this program. The CLL study which is scheduled to start shortly also addresses a major area of unmet need. Here we’ve focused on patients who’ve been treated with ibrutinib or other BTK inhibitors, but had to discontinue due either to acceptable toxicity or progressive disease. It’s becoming increasingly clear that these patients have a very poor prognosis with no remaining treatment options. The unmet medical need in these patients is thus extremely high. The tumors continued to express CD19 and therefore should be susceptible to MOR208. The segment is likely to grow significantly over the coming years as ibrutinib uptake increases. The trial what we’ll run will be a Phase 2 study combining MOR208 with idelalisib in ibrutinib or other BTK refractory CLL patients. We are aiming to recruit 120 patients into a single arm, open label study and expect first stage from the trial next year. Meanwhile, the investigator initiated trail of MOR208 and CLL continues at Ohio State University. We saw encouraging first data from this trial at ASH in December of last year. Altogether, we expect 80 patients to be treated in this trial. The settings are MOR208 plus lenalidomide in relapsed/refractory naïve or Richter's Transformation CLL and MOR208 on top of ongoing ibrutinib in CLL patients who’re failing ibrutinib therapy. In ALL we head plan to support another investigator initiated trial. We’ve recently learned however, that due to personnel changes at St. Jude's Children's Research Hospital in the US, this trial will now not take place. The next program I’ll talk about is our anti CD38 antibody MOR202. Despite an unexpected set back in March of last year when our partnership with Celgene ended, we reported very encouraging clinical data from the ongoing open label Phase 1/2a study in relapsed or refractory multiple myeloma at ASCO and ASH last year. We’re continuing with three arms in this study more toward to MOR202 alone, MOR202 plus lenalidomide and MOR202 plus pomalidomide. Since ASH, we have gathered more data from the 16 mg/kg monotherapy and 8 mg/kg immediate combination cohorts. These data provide further evidence of the potential for MOR202 to provide a clearly differentiated treatment alternative in multiple myeloma. First, we continue to be very positive about the drug safety profile. MOR202 is administered into infusion as yet un-optimized and the intended regiment was so far seen only one patient with mild infusion reactions. Patients receiving MOR202 plus pomalidomide have shown very encouraging responses, which have deepened considerably since first data was reported at ASH in December, 2015. With the responses that we’re seeing, a burnout in more patients as the study continues then there is reason to believe that MOR202 could potential be best in class in terms of efficacy, safety as well as convenience. As always we’ll reserve detailed data presentation for suitable medical conference. Pre-clinical data that we presented at ASH, suggest that one of the key advantages of MOR202 could be preservation of natural killer cells. We showed that in contrast to other CD38 antibodies MOR202 spares NK cells, while multiple myeloma cells are killed with efficacy similar to that shown by other antibodies. Since NK cells are a key piece of the mechanism of action of these drugs, it’s desirable to preserve them. Although, this has to be data based clinically we have focusized that this feature of MOR202 may translate into a more durable response than as seen with other anti CD38 antibodies. Based on all the pre-clinical and clinical data we’ve collected so far, MOR202 is shaping up to be a genuine advance in the treatment of multiple myeloma, potentially offering patients superior outcomes and quality of life. Well, we’re often asked about our plans for premiering MOR202 and MOR208 both programs clearly have substantial market potential. We feel that in order to expect the maximum value from each program, we intend to power them for later stage clinical developments and certainly for commercialization. In each case we aim to maximize value for MorphoSys and our stakeholders within the partnerships we enter. This will mean retention of significant rights for MorphoSys. Optimizing the terms in any negotiation is easier when the data package around the program is convincing. This is our focus right now, further adding to our strong data packages for both MOR208 and MOR202. The third clinical program in our proprietary development segment is MOR209. This bi-specific antibody for prostate cancer is currently the subject of a co-development agreement with the originator Emergent BioSolutions. The Phase 1 clinical trial in castration-resistant prostate cancer patients was commenced in March of last year. After joint examination of the initial data, we decided together with Emergent to adjust the drugs’ dosing regimen and administration. Clinical development will continue in 2016 under an adapted trial protocol and updated agreement. Under the terms of the updated agreement, the parties have reduced MorphoSys’ cost sharing over the next three years and reduced future milestone payments payable by MorphoSys to Emergent from $163 million originally to a total of up to $74 million. Other financial terms and the split of the commercial rights remain unchanged. Behind these clinical programs are two compounds that are currently in late pre-clinical development which are both scheduled to enter the clinic this year, the first of these is MOR106, an antibody against an inflammatory target from a joint discovery and development collaboration with Galapagos. We expect the start of the Phase 1 trial in the first half of 2016. This will evaluate safety and primitive kinetics [ph] of the antibody in healthy volunteers and also in patients. We plan to disclose more information as soon as the clinical development has started. The second is MOR107. This compound is a lanthipeptide from our acquisition of Lanthio Pharma last May. The compound is malignance of the angiotensin II type 2 receptor, which is the key component of the unexploited protective arm of the renin-angiotensin system. MOR107 has shown anti-fibrotic efficacy in animal models and has been developed for diseases with a fibrotic component. We’re aiming to start clinical trials towards the end of this year. In addition to MOR107, the acquisition of Lanthio Pharma brought us three additional lanthipeptide drug candidates in the earlier stages of development. The most advanced program is a lanthipeptide that stimulates the mass receptor, which represents the second key target of the protective arm of rennin-angiotensin system. This compound has also shown strong efficacy in animal models. MOR103 rounds out the review of the proprietary portfolio. This human antibody against GM-CSF has been outlined since the GSK, but we continue to include it in our proprietary development segment because it originated as an internal discovery program that we took through Phase 1b/2a development before partnering. GSK has announced its plans for the program, we named GSK3196165 last year. It is currently in the Phase 2b trial of rheumatoid arthritis which will recruit the possibly 10 patients. We expect to see results for the study next year. GSK also announced they intend to start a phase 1b/2a study clinical trial of MOR103 in osteoarthritis of the hand this year. Before moving on, I’d like to stress here that we see a lot of potential in our proprietary portfolio, for each program there was an unmet medical need and very clear differentiation of the compounds versus competing programs in the same space. These criteria are essential for us when we consider where to invest and we’re convinced that each program deserves and will benefit from the increased investment that we plan this year. The key element of our development strategy is ensuring a sustainable flow of programs, for this reason our discovery and target sourcing activities are important. In 2015, we entered new agreements with biotech companies Immatics and G7 as well as with the University of Stuttgart. The objective of these collaborations is to source mobile targets against which we apply our antibody and all peptide platforms to discover innovative drugs. The Immatics collaboration is a great example of this. Their platform identifies novel tumor associated peptides presented on the surface of malignant cells. We have shown that our Ylanthia technology is ideally suited to making differentiated anti-bodies against technically challenging targets of this type. The collaboration is therefore a perfect match and we hope that it will be source of a number of innovative anti-cancer programs for us. A different type of collaboration is done with Merck KGaA. Here we are using our Ylanthia platform to discover and develop antibodies against selected checkpoint targets. This is more representative of the type of collaboration we will enter in the future, shared risk, shared reward and a genuine co-development setting, rather than developing our involvement to anti-body generation only. I will turn now to the pipeline arising from our product discovery alliances. The most advanced program is the bimagrumab, the huge [ph] antibody we made for Novartis, which they are developing in a number of muscle wasting conditions. Recruitments into the phase 3 trial in sporadic inclusion body myositis is complete and we expect the results of this trial shortly. Recall Novartis has breakthrough therapeutic designation from the FDA for this program and we were therefore expect, given favorable result that the regulatory process in the US could go quickly. If approved the bimagrumab would become the first marketable product from our technology platform. Market entry will stop the transformation of our revenue statement to one based on product sales. In addition to inclusion body myositis Novartis is also developing bimagrumab in patients who have undergone hip fracture surgery, those with Sarcopenia and cachexia with several phase 2 clinical trials ongoing. Clinical data from some of these studies is expected next year. Right behind bimagrumab is guselkumab, HuCAL antibody being developed by Janssen for psoriasis and psoriatic arthritis. Janssen is currently running six Phase 3 trials in psoriasis settings three of which will read out this year. Janssen has recently confirmed that they expect to file for approval of guselkumab before year-end and given favorable results we could expect it to come to market next year. Guselkumab would then be the second marketable product based on our technology and the second source of royalty based income. A year ago, we talked about Roche’s discontinuation of the HuCAL antibody gantenerumab in a phase 3 clinical trial in prodromal Alzheimer’s disease. One year on, the picture looks much better. Roche sees potential in this program and has decided to explore higher doses of gantenerumab. It has therefore converted both active Phase 3 trials in prodromal and [indiscernible] patients to open-label. Results from those finding studies will guide next steps and Roche has mentioned that a new phase 3 study which could start next year. Most recently Bayer’s antibody-drug conjugate Anetumab ravtansine entered a global phase 2 clinical trial in mesothelioma, a study designed to support registration. The antibody part of this conjugate is derived from our HuCAL platform and target mesothelim, a target implicated in other solid tumors such as non-small cell lung cancer as well as mesothelioma. In conclusion, our entire pipeline now comprises 103 programs at all stages of development, an increase of nine over the last year. There are 89 partnered discovery programs and 14 in our proprietary development segment. Of the 103 programs 25 are in clinical developments, an increase of three over the last year. With that I will conclude and hand over to Jens for his wrap up of the financials.
Jens Holstein: Thank you, Simon. Ladies and gentlemen, also from my side a warm welcome to our conference call for the financial results of 2015. 2015 was a great operationally another solid year for MorphoSys. We made significant progress, advance in the company in its pipeline. In terms of our financial results, we ended the year slightly exceeding our updated guidance from the end of March of last year. Our solid financial foundation of close to EUR 300 million in cash and other financial assets at the end of 2015 allows us to operate form a position of strength. This enables us to increase R&D expense to grow and advance the company’s pipeline and value without losing site of prudent and efficient use of resources. Let me now turn your attention to the financial highlights of the year 2015. Revenues came in just above the guidance range of EUR101 to EUR106 million at EUR106.2 million. EBIT amounted to EUR17.2 million. Comparing the year-end EBIT with our guidance of EUR9 million to EUR16 million, we closed slightly above the upper end of the EBIT range. Our financial position remains very strong; we ended the year with a healthy cash position of EUR 298.4 million. I would like to remind you that our 2015 revenue contained a significant contribution from the effects of connection with the ending of the Celgene collaboration and the amount of approximately EUR59 million. Those positive non-recurring affects are fully reflected not only in the revenues but also in the earnings figures of 2015. As back on [ph] information you may recall that we received an upfront payment from Celgene amounting to nearly EUR71 million in 2013 when we have started the collaboration and according to IFRS, we have to consider this payment in the balance sheet as deferred revenues. After ending of the collaboration in March 2015 we have to recognize the deferred revenue in full and realize the nice positive effect for our P&L. This explains the exceptionally strong year-on-year increase in revenues both for the group and the proprietary development segment as well as in earnings and causes the related changes for number of corresponding balance sheet positions. Let’s now have a closer look at our income statement. On slide 21, you can find profit and loss statement of 2015 in comparison to 2014. Revenues increased from 64 million to EUR106.2 million. As planned total R&D expenses increased by EUR22.7 million to EUR78.7 million in 2015, mainly due to higher costs for external laboratory services and personnel. R&D expenses on behalf of partners remained under the same ball park as in previous year from just slightly increase to EUR22.1 million. As planned proprietary R&D expenses increased by 55% to EUR56.6 million. General and administrative expenses slightly increased to 15.1 million mainly as a result of higher personnel expenses. Other income and expenses totaled EUR4.7 million and mainly stem from earnings effects from the fair value measurement of the shares already held in Lanthio Pharma B.V. in the amount of EUR4.5 million. Earnings before in interest and taxes amounted to EUR 17.2 million. Finance income and expenses for 2015 amounted to EUR3.4 million versus EUR1.61 million in 2014 and included mainly interest income as well as realized and unrealized gains from foreign exchange transactions. The group reported income taxes expenses of EUR5.7 million comprising current tax expenses of EUR4.2 million and deferred tax expenses of EUR1.5 million. All in all in 2015, MorphoSys generated consolidated net profit of EUR14.9 million this results in a diluted net profit of share of EUR0.57 cents versus a diluted net loss per share of EUR0.12 cent for the previous year. Let’s now turn to the segment reporting and here in 2015 the proprietary development segment achieved revenues of EUR59.9 million basically stemming from the collaboration with Celgene. Looking at our Partnered Discovery segment, revenues amounted to EUR46.3 million. Segment revenues for 2015 included EUR42.3 million and funded research and licensing fees of EUR4 million in success based payments. Due to the increased efforts in the clinical development of our property pipeline, operating expenses for proprietary development rose from EUR53.5 million in 2014 to EUR54.1 million in the reporting year. In partnered discovery, operating expenses increased slightly to EUR25.9 million in 2015 from EUR23 million in 2014. Hence the proprietary development segment reported an EBIT of EUR10.7 million, while the partnered discovery segment achieved EBIT of EUR20.4 million in 2015 compared to EUR25.9 million in the previous year. Let’s move on to the balance sheet on slide 23. As of December 31, 2015 total assets amounted to EUR400.1 million and were EUR26.4 million lower compared to the end of previous year. On December 31, 2015 the company held liquid funds and marketable securities as well as other financial assets in the amount of as well as other financial assets in the amount of EUR298.4 million, compared to EUR352.8 million on the December 31, 2014. This amount includes cash and cash equivalents, financial assets and funds available for sale as well as financial assets classified as loans and receivables. Please note that our cash balances as shown in five different line items in the balance sheet. The existing funds actually available for investments are therefore significantly higher than the pure cash and cash equivalents position indicates. Total group equity amounted to EUR362.7 million at year-end, compared to EUR348 million on December 31, 2014. Resulting from the exercise of 80,848 convertible bonds in 2015, the number of shares issued rose to 26,537,682 by December 31, 2015. Net cash outflow from operating activities in 2015 totaled EUR 23.5 million. This brings me to the outlook section and the financial for 2016. MorphoSys expects Group Revenues for 2016 financial year in the range of EUR47 million to EUR52 million, this is in line with the 2015 revenue figure taking the sales in effects of EUR59 million in to account. Based on our intention to further advance and broaden our product pipeline, the company’s R&D budget for proprietary attractive element will rise further in 2016 in comparison to previous years. The majority of the expenses will flow into the clinical development of MorphoSys most advanced drug candidates. R&D expenses for proprietary drug development are expected to rise EUR76 million to EUR83 million from EUR56.6 million in 2015. We expect an EBIT for 2016 in the range of between minus EUR58 million to minus EUR68 million. We would like to reiterate again, that we deliberately increased R&D spending based on the solid financial foundation of close to EUR300 million in cash and other financial assets at the end of 2015. And this will enable us to grow the company’s pipeline and the value from a position of financial strength and needless to say not losing sight of our well disciplined approach to investments. The guidance does not include potential in licensing or co-development or further development candidate nor does it include any revenues from new business fields. With that I would like to finish my presentation and hand back to Simon for a short operational before we start the Q&A session.
Simon Moroney: Thank Jens and to conclude I’ll summarize briefly what you should expect from us over the next 12 to 18 months. By the end of this year we could have two products in registration and five programs for our proprietary development activities in clinical development. First, the bimagrumab we hope to see positive data from Novartis’s phase 3 trial and sporadic inclusion body myositis in the near future. With breakthrough therapy designation we hope for a quick regulatory review by the FDA. All going well bimagrumab could be approved in the US this year. Guselkumab, readouts from three of Janssen’s phase 3 studies in psoriasis are expected mid-year, which could provide the basis for Regulatory filing this year and market introduction next year. MOR208, this year we will start phase 2 trials of MOR 208 plus lenalidomide and MOR208 plus bendamustine in relapsed or refractory DLBCL. The bendamustine combo trial is a safety study that should transition to a pivotal trial in 2017. We’ll also start phase 2 trial of MOR208 plus idelalisib in ibrutinib refractory CLL patients. We investigator initiated trial of MOR208 and CLL will also continue. We plan to report first clinical data from some of the new studies next year. In 2016 we expect have data from the NHL monotherapy trial and we might see updated data of the investigator initiated trial for MOR208 in combination with lenalidomide in CLL patients this year. MOR202, we’ll continue the phase 1/2a study of multiple myeloma and expect to have completed three ongoing arms monotherapy and the combo arms with lenalidomide and pomalidomide by the end of the year. We aim to provide update on this program at ASCO in mid-year and at ASH in December. MOR209, we plan to continue the current clinical trial under our amended protocol with recruitment to start around mid-year. We currently do not plan to publish any clinical data in this year, but more likely in 2017. MOR106, we expect to start a phase 1 trial of this anti-inflammatory antibody together with pharma Galapagos in the first half of this year. MOR107, we expect to start phase 1 trial of this lantipeptides for fibrotic diseases towards the end of this year. MOR103, we expect our licensee GSK to commence phase 1b trial of osteoarthritis of hand during the year and first started from the phase 2b trial in rheumatoid arthritis in 2017. As always we expect several data readouts from partner programs during the course of the year especially phase 2 trials for Novartis is ophthalmology program LFG316 and a cancer program LJM716 which will be completed during 2016 and we expect to see clinical data at upcoming medical conferences. For the pipeline as a whole we expect up to five new program starts. We also expect around five clinical milestones that are programs either entering into clinical development or transitioning between clinical development stages. As usual we expect to enter partnerships with other companies in our industry aimed at maximizing value from our technology platform and/or proprietary programs. Discussions and negotiations are ongoing and as always we do not provide guidance on the nature of any deals or their possible timing. Right now our plate is full in terms of proprietary developments as it is apparent from liberal investment we're making and the addition of new compounds through in licensing or other types of transaction is not high on our list of priorities. In closing, we have a great pipeline with truly differentiated compounds and are looking forward to the first product approvals. We’re very optimistic about our proprietary development portfolio and are pleased that we have the financial strength to invest at the level required to ensure maximum value generation from these programs. This is going to be a big year for MorphoSys and we're excited about what's ahead of us. Thank you all for your attention I will now hand back to Claudia for the Q&A session.
Claudia Gutjahr-Löser: Thank you, Simon. We are now opening the call for your questions.
Operator: [Operator Instruction] The first question comes from the line of James Quigley from JPMorgan.
James Quigley: Thanks for taking my question is on MOR209, would you guys [indiscernible] more detail on what led to really feel [indiscernible] and was it efficacy based or safety based or some of the other factors. Also with the change in the mass payments and the agreement with [indiscernible] Emergent, so that now translate to lower or the commercial opportunities, lower given that you’re now paying less away and also less in terms of R&D cost. MOR202 plus POM data, can you give us bit more or elaborate a bit on the deepening responses I think ASH dispense rates was around 6% to 7% for this cohort and how it is going in terms of the deeper responses and have you got more patients within the cohorts. On the guidance, what would be numbers, it kind of implies potentially 10 million of additional SG&A, can you take us through where that's coming from and finally getting back on to MOR202 what is the response from KOLs, are these both going to be importance of the NK-cell sparing and could depend if it potentially be limited versus other CD-38 given that they also take out T-Rex [ph] cells so that NK has less inhibition. Thank you.
Arndt Schottelius: James, thanks for those questions, Arndt, I'll start with 209 and then hand over and then go 202, so your questions the factors that have led us to start a new dosing regimen and this time we are as you're well aware in the dosage collection part this is a safety part early times phase 1. We will update when we have new data on the new dosing regimen and we'll update when we start and have data next year. This time we are not disclosing any specific details, I think you are well aware of these early safety trials, but we look at safety signals and [indiscernible], so looking at the data has led us to use a different more frequent dosing of the antibody and we want to share more detail when we have more data from the next phase. Maybe I'll hand over to Simon for the milestone question.
Simon Moroney: Yeah, sure James, obviously having to change the protocol here that impacts not least the timelines of the entire program and given what we saw - we sat down with our partners Emergent, had a discussion about whether the terms that had been originally agreed in the agreement were a fair reflection of where the program is at given what we are seeing in clinically and actually very quickly reached an agreement that we should make some adjustments there. And so the agreement was amended accordingly in terms of some of the development payment and milestone payments. So that was a very quick and very quickly agreed between the two parties and I think it is a fair reflection of where the program stands now.
Jens Holstein: Jens, continuing with the question, 202, what we have seen deepen responses in the 202 POM combination cohort, yes indeed since we last reported you're right we had a clinical benefit rate of 67% there. I mean, of course this is small patient numbers. We feel very encouraged because the depth of the response has deepened. This time we don't want to give a clear - what response we've seen, we wanted to do that is the proper way in a conference about what we've seen consistently also treatment over time that the depth of the response has deepened, so we feel very encouraged about that. In terms of where we hypothesized that the aspiring of the NK-cell as Simon mentioned in the speech, may have influence on the durability of the response and thus also durability and quality of life. Yes, we have seen this pre-clinically as we said we need to validated clinically and if I got your question right, there are some with the other CD38s that there’s some depletion of regulatory T-cells. We haven't looked at that specifically we have looked at the NK-cell that something we're also going to analyze going forward. But just coming back to the NK-cell, because we see that sparing pre-clinically needs to be validated clinically, it could have a bearing on the durability of response as well nor has - there are some limitations that investigators would like to see prolonged. That's also the feedback that we see anything that actually could help that is good also adding - you might have seen the poster at ASH where we see actually we don't see a decrease in CD38 expressionist some - again pre-clinically some with the other antibodies that also could be a factor that's in the long run having a positive bearing on your durability of response.
Arndt Schottelius: And then James, maybe to your guidance question it was a bit tough to understand, but I guess, I hope I have answer correctly. Your question was if we would have some 10 million for G&A expenses included in our guidance that is correct. I mean maybe to remind everybody, in 2015 we had general and administrative expenses of roughly of EUR15.1 million. And you should expect going forward for ‘16 a slight increase here, so that is certainly reflected in our overall EBIT Guidance of minus 58 million to minus 68 million. I hope, I got your question right here.
James Quigley: I guess the question is it I implies potential 10 million uplift based on EBIT and just wondering where that came from?
Arndt Schottelius: No. There is no 10 million uplift. I think it will be just a small uplift as in every other year that we had over the last couple of years.
James Quigley: Okay thank you.
Operator: The next question comes from the line of Daniel Wendorff from Commerzbank. Please go ahead.
Daniel Wendorff: And thanks for taking my question, it's actually relating to the underlying level of payment to you get from Novartis can you update me again on the duration of this long contract, is there another option to prolong it? How should we think of this line beyond 2016, in the years to come? Thank you.
Simon Moroney: Yes, Daniel, remember it goes - scheduled to run until December of next year. And remember that Novartis has an option to extend for a further two years. Currently, we don't know whether they will do so or not and the way the contract is currently structured they pay us roughly 40 million, split pretty much half - half technology access fees and SGE funding.
Daniel Wendorff: Okay, thank you. Yeah, that’s it.
Operator: We currently have no questions coming through. [Operator Instruction] The next question comes from the line of George Zavoico from Jones Trading. Please go ahead.
George Zavoico: Thank you very much for taking my question and Good afternoon everyone. A couple of quick questions, first on regarding MOR202, NK-cell effect, we got something that was planned in with the design of the antibody and If not are you in the process of figuring out exactly the mechanism of why you getting that NK sparing and could that be a property that you might be able to then apply to other antibodies in development. Second question is that at one point you were very much involved - were focused on the cancer space and now you're broadening out into inflammatory, we have started immune on your proprietary pipeline. So are you becoming more opportunistic now in terms of broadening your indications? And a very quick question the five new programs that you mentioned bringing up are those all proprietary and finally I wonder if you could provide little bit more information on checkpoint space because that is clearly a very rapidly evolving area and could also provide perhaps an accelerated or faster path to market. Thanks.
Jens Holstein: George, I will answer for your question, I will start and kick up the 202 NK-cell. This is something we looked at it wasn't pre-designed there are some possible explanations it could have to do with the affinity of the antibody remember that the CD38 expression on NK-cells is lower than in multiple myeloma cells. And together with the affinity that could have been the fact, it's not something currently we see we want to kind of engineer going forward. But of course any antibody, any program where these affected cells play a role that needs to be monitored and maybe we learn something going forward. With that I will hand over to Simon at the indication, increasing out of the cancer space.
Simon Moroney: Yeah, George thanks for the question, so remember that we worked in the inflammatory space before MOR103 remember rheumatoid arthritis, we pick the target a long time ago and worked it up, made the antibody to get into the clinic and then have licenses with GSK. So we have expertise beyond cancer and if we see opportunities to migrate molecules against targets present inflammatory targets, which is what we think are one of our success to get with [indiscernible] we were able and prepared to pursue that. The main focus will continue to be cancer but we are certainly opportunistic where we see targets and unmet medical needs outside of the cancer space. And in terms of those five new program starts for this year better probably a mixture between proprietary development programs and new programs being initiated by of our discovery partners which at this stage is Novartis.
Marlies Sproll: George, this is Marlies, I'm happy to take your question about the checkpoint space. So of course we are very well aware and actively following this area of highly innovative research which is ongoing and I think are the major kind of pharma partners are looking into that and are excited about it as we are. The to answer your question yes indeed, we are following on the scene, we have a number of programs ongoing as well in our partnered segment but also in our proprietary portfolio the one that has been disclosed a co-development program where we are actively working on with our partner American in [indiscernible]. And there is other ideas where we are - will be happy to kind of inform the outside world when we are there and ready to talk about it.
George Zavoico: And I can’t remember the Merck program and is that, they function on works on PD-L1 I can’t remember.
Marlies Sproll: No. So it's not PD-L1, but the target has not yet been disclosed, so it depends
George Zavoico: Not yet disclosed. Okay, great, thank you very much.
Marlies Sproll: Welcome.
Operator: Next question comes from the line of Sachin Soni from Kempen & Co. Please go ahead.
Sachin Soni: Good afternoon everyone, a few questions from my side. On MOR202 as you does up, do you see any infusion related reactions coming up in the higher does or it doesn't change much and you only see the efficacy there, then you mentioned that you would like to see the data strong enough for both 202 and 208. Can you please elaborate what would be strong enough in your definition as 20 or 20.4 months duration of response in DLBCL not strong enough currently or is it still there. And can you say something about 4-1BB ongoing with Pfizer what should we expect from that front as well. Thank you.
Arndt Schottelius: Yeah, thanks Sachin it is Arndt. So in terms of infusion reactions, no, we have not seen an increase remembered our ASH poster in 202 last year we have - we had one patient at the 16 mg MOR202 alone cohort with two infusion erections low grade, that hasn’t increased, so we haven't seen any increase while we haven't dosed higher, but of course higher - well we haven't dosed higher, the monotherapy and we’ll now go with16 plus LEN and POM, so that is starting now and we'll see, if I expect infusion reaction not to change, so no change there, very low, currently in terms of the infusion tolerability, best in class and quite lower than the other antibodies. Then in terms of your question about the strengthening of the data packages, you rightly said in terms of durability of response we see exceeding 20 months not for 208. We see increasing very encouraging data for 202 that's true. However, we feel we're not in a rush you know Simon said we do plan to partner but we would like to gather more data, quality is good, but as you can imagine we are now starting the combo trials for 208, again as referred in the speech, we expect the best setting to be in combination therapy. I mean you look at 202, we are very excited about that, would like to share the data, but also we are now just starting the 16 plus in which combo cohorts, then the confirmation cohorts. So it would be interesting how that develops, if very encouraging response we've seen can be sustained. And that's what we really by strengthening the package.
Simon Moroney: And Sachin let me take the 4-1BB question. I think I'm right in saying that the last time we saw data in public was of ASCO in the middle of last year and I think I am right also in saying since then we haven't seen anything published of 4-1BB as far as we're aware Pfizer is very committed to the program I think it's highlighted actually on Pfizer presentations as one of the top four or five pathway programs. Looks to have some advantages that antibody compared to the BMS 4-1BB program, which got stopped due to toxicity. So we continue to be excited about it, but we're not aware of any new data since ASCO of last year.
Sachin Soni: Okay sounds good, Thanks a lot.
Simon Moroney: Thank you.
Operator: The next question comes from the line of Mick Cooper from Trinity Delta. Please go ahead.
Mick Cooper: Good afternoon everyone. A few questions, first of all with 107, can you give us an indication, which areas of fibrosis enormous area, is pulmonary, psoriasis, can you give us some guidance there? On the financial front, can you give some guidance on what you expect year-end cash to be and am I right in assuming that the current financial guidance excludes any potential milestone from bimagrumab. And finally just follow up on the previous type 1 inhibitor question. Are you looking at just monospecific or you’re looking at some bispecific there? Can you tell us?
Arndt Schottelius: I think I'll start with the question on 107 indeed. As we said we've seen very encouraging pre-clinical efficacy in different fibrosis models. Currently we are focusing on diabetic nephropathy is one fibrosis area. Of course that could be expanded to others but that’s where the current focus is. We’re targeting and again starting to move into the clinic towards the end of the year.
Mick Cooper: Thank you.
Jens Holstein: And then maybe to the two financial questions Mick. Regarding the cash position year-end our estimate is that it will be somewhere between EUR 225 million to EUR 235 million. That should people sort of ballpark you can extract for the cash position year-end ‘16. In terms of the milestone payments and the model market specifically, you had asked the question if that is included. As always we have a number of potential milestone payments that we expect during a year. Out of our guidance as Simon mentioned earlier we have some EUR 40 million that come from Novartis. So in the other section there is certainly various milestone payments and maybe as a general statement again for milestone payments with our partners. We receive milestone payments with a filing as well as with the approval. So you should then expect in general, I mean for the programs that we have a partners, that we have such a split.
Mick Cooper: Okay. Just few follow up on that. If the total of filing and approval milestone for bimagrumab potentially, kind of around 10 million is that a reasonable estimate?
Jens Holstein: No, that is not a real estimate. I think we always communicated that, it goes up it depends very much on the partner and so on but in general it goes up to a range of up to EUR 10 million from milestone payments from the beginning to market approval. So, I would expect that a falling milestone is significantly lower.
Mick Cooper: Okay. That’s mean 10 million in total for the filing plus approval.
Jens Holstein: Yeah, I don't want to give guidance on that sort of thing. Please stay with us on this when we publish the figures but I mean within the 7 million to 12 million roughly here that you see that comes on top of the 40 million from the Novartis. There are certainly milestone payments in there and we have a couple of very interesting milestone payments that could occur in 16 and be bimagrumab is one of them.
Mick Cooper: Okay thanks.
Marlies Sproll: Yeah and Mick this is Marlies again, happy to take your last question, which was how about potential [indiscernible] for antibodies targeting the checkpoint fields. I mean, we are exploring different opportunities of course and we are quite excited of part of our experiments have been done here. But it is at that point in time simply too early to be more specific. So we need to explore the viruses and when we have made our decisions and agreed with our partner or to disclose we will be happy to do so.
Mick Cooper: Okay, thank you.
Operator: The next question comes from the line of Victoria English from Ebano Publishing [ph]. Please go ahead.
Unidentified Analyst: Yes, Simon, when you mentioned the fact that you will eventually want to partner 208 and 202, how important in your preparations for discussions is the fact that MOR208 target CD19 where there are only a couple of other products for this type of cancer?
Simon Moroney: So, if your question is about the competitive space in the CD19 areas. I am sure indeed there are and I think what that tells you is, what a great target CD19 is. You’re referring of course to the [indiscernible] approaches. I think the interesting thing there is, that's a very new technology and when people are figuring out what target to go after they didn't chose CD20 to engineer t cells, they chose CD19 and that tells you right there, that CD19 is actually the better target. For us, what else is going on in the CD19 spaces a little bit secondary to the data that we are generating in the specific indications, which is relapse/refractory, which means CD20 refractory, DLBCL and the ibrutinib refractory CLL, so as we think about competition we look at exactly the programs that are targeting those indications and sub-indications. And those are really the relevant things for us and I think for us based on the data that we've generated so far with MOR208 monotherapy we feel very good about the possibility to increase the levels of efficacy that we have seen in the appropriate combinations that we're now testing and that's really the key for us and is much less about what else is going on in the CD19 space.
Unidentified Analyst: Yeah, thank you.
Operator: [Operator Instructions] Thank you. We have no further questions coming through. So I will now hand back to Dr. Claudia Gutjahr-Löser to wrap up today’s call. Please go ahead.
Claudia Gutjahr-Löser: That completes our call, should any of you wish to follow up with us directly we are all in the office for the remainder of the day. Thanks again for joining the call and goodbye.
Operator: Ladies and gentleman, the conference is now concluded. And you may disconnect your telephone. Thank you for joining and have a pleasant day, goodbye.